Operator: Good day and thank you for standing by. Welcome to the Mips Interim Report Q3 2024 Conference Call. [Operator Instructions] Please be advised that today’s conference is being recorded. I would now like to hand the conference over to your speaker today, Max Strandwitz. Please go ahead.
Max Strandwitz: Good morning. My name is Max Strandwitz. I am the CEO of Mips. And with me today, we also have our CFO, Karin Rosenthal and we will take you through the presentation of the Q3 results presentation. So if we start with the key highlights of the quarter, it was another strong quarter with 61% growth in net sales. If we adjust for ForEx impact, we were actually delivering an organic growth of 69%, which is a very strong number. And year-to-date, we have delivered 29% organic growth. We saw good development in all our three different categories. And just to remind you, we have a Sports category, a Moto category and a Safety category. The consumer market remains challenging and the buying behavior is still very erratic. This is especially visible in the North American market. In Europe, we see that the consumers are coming back quicker, and we also see that the consumer sentiment is improving. The interest in implementing Mips’ safety system in new helmets remains high and market share and penetration of Mips continue to increase throughout the world, and we are confident in our long-term strategy and our financial targets. If we then turn to next page in Sports, we continued to see strong development in all subcategories. We saw 61% net sales growth in the quarter and all of the subcategories were growing. We experienced that the inventory levels are at a more healthier level, but market conditions are still challenging due to a weak consumer sentiment. And we also see, especially in retail, that there is a much higher emphasis on working capital. The long-term positive outlook in the Sports category remains. If we then go to Moto, we did see strong growth in Moto, good performance with 55% growth in the quarter and year-to-date now at 20%. Situation is much more normalized with customers buying from us again, but still challenging market conditions. No change in the long-term outlook, strong interest for Mips in this category. And we’re also very happy to see that the initiatives, that we initiated in Moto is really start to get traction. If we then go to next and Safety, we did see good development. That was the largest quarter to date. We are rolling out new helmets equipped with Mips and the ones – including the ones we have on the market. We now have a very good platform to start generate expected market demand. It was an intense quarter. We had two of the biggest fairs of the year happening in this quarter with ASSP and NSC in the U.S. taking place. And we saw very high interest for Mips in those fairs. And we remain positive on the outlook of this category. If we look at the development in the different categories. In Sports, we did see 61% growth, net sales now at 27%, and we saw strong performance in all the 3 subcategories in Sports. And in Moto, 55% growth in the quarter, and we see that the Moto category is improving quickly. And also, like I said, the initiatives that we started also starting to generate results, which is positive. And then in Safety, although small numbers, we are happy with the development that we see there and close to doubling the sales in the quarter versus last year. And with that, I hand over to our CFO, Karin Rosenthal.
Karin Rosenthal: So good morning, everyone. I’m Karin Rosenthal, CFO of Mips, and I will take you through the financial part of the presentation. We saw strong development in the third quarter with an increase in net sales of 61% and adjusting for FX due to a weaker U.S. dollar versus SEK, net sales increased with 69% organically. Gross profit increased with 62%, and we saw a gross margin of 73.4% versus 73.1% last year. And the increase was mainly due to increase in net sales and the product mix effect. And in OpEx, we continued to invest in our strategic priorities in the quarter. EBIT was up 219% to SEK48 million compared to SEK15 million last year. And EBIT margin increased with 19 percentage points to 38.5% versus 19.5% last year. And this shows how scalable our business model is as net sales increases, it will have a positive effect all through our P&L. A good operating cash flow of SEK36 million in the quarter and if we look at the financial KPIs, 69% organic growth, 39% EBIT margin and 6% operating cash flow. If we turn to next page and look at the development for the first 9 months, net sales increased with 27%. And adjusting for FX due to a weaker dollar versus SEK, sales increased 29% organically. Gross profit increased with 29% with a gross margin of 72.3% versus 71.1% last year. And the increase is mainly due to the increase in the net sales. In OpEx, we continued to invest in our strategic priorities, the marketing and R&D. EBIT was up 112% to SEK113 million, and EBIT margin improved by 13.3 percentage points to 33.3% versus 20% last year. Operating cash flow amounted to SEK56 million. So the financial KPIs, 29% organic growth, 33% EBIT margin and 56% operating cash flow. If we then turn to next page, and we are now on Page 9, balance sheet and cash flow. We have a strong cash position with cash and cash equivalents of SEK296 million. We paid out a dividend of SEK159 million in May, corresponding to SEK6 per share. And just to remind you that we don’t hold any loans. And operating cash flow in the quarter amounted to SEK36 million, and the equity ratio was 87%. Over to you, Max.
Max Strandwitz: So if we then summarize the quarter, we did deliver a strong quarter with 69% organic growth, year-to-date performance now at 29% organic growth. Good performance in all our three categories and we do see year-to-date growth in all our regions. We are experiencing positive development, but it is important to remember that the market situation is neither fully normalized nor particularly stable. It’s a very uncertain market out there. Our sales have started to reflect the market sellout with less impact from our customers destocking their own inventory. We have a very strong financial position and confidence in our long-term strategy and our financial targets. And with that, we open up for questions.
Operator: [Operator Instructions] We will take our first question and the question comes from the line of Adela Dashian from Jefferies. Please go ahead. Your line is open.
Adela Dashian: Good morning and thanks for taking my questions. The first one, maybe if we can start on the Safety segment. And my apologies if you already went into more details on this in your prepared remarks. But it would be great to hear. I mean, I noted that you wrote in the release that the ramp-up even now in Q3 was a bit slower than anticipated. So – and I know the reasons you’ve stated previously for why it has been slow up until this point, but maybe we were hoping for a bit more robust development within the segment in the second half of this year. So, any color there?
Max Strandwitz: No, I think – I don’t think it’s slower than we expected in Q3. It’s pretty much in line. What we have said before is that we were facing somewhere around 6 months delay in the Safety category. As we said before, we were expecting to have a Safety category somewhere around SEK20 million to SEK30 million in net sales when we exited last year. And if you add 6 months to that, in the quarter, you saw around SEK5 million. If you take that times 4, which means dialing up a quarter to a full year, then, of course, you get close to SEK20 million. So, I wouldn’t say that we are that far behind. But what we are very happy about is, of course, now we have a very strong platform in the Safety category with a lot of the strong models that can generate a lot of volume. So I would say that we are very happy with the development that we see in the category.
Adela Dashian: Okay. But then likely more towards the low end of the previous guidance that you...
Max Strandwitz: Yes.
Adela Dashian: Alright. In bike, I know that you have a lot of new models or your customers have a lot of new models that are now coming to market. And you also mentioned this all-time high level of new projects incoming. Could you maybe speak a bit more on your own technology advancements in the years post-pandemic? Do you see any abilities to maybe potentially increase the prices for these new inlays? I know that hasn’t been the case in the past, but – yes. And do you have any leverage there or any exciting thoughts about the new – moving to new technologies?
Max Strandwitz: Yes. I think – I mean, price increases in general, I think, is not the recipe for Mips. What we do is that, of course, we want to bring innovation to the market. When we bring innovation, we normally also equip our brand with the possibility to charge a little bit more for the product. We think that is the right strategy, always bringing more value to the consumer and that, of course, can generate a higher price. For us, we have no strategy of just increasing prices as such just to deliver a higher margin. We believe that sharing the value we create with the customers is a much better opportunity. As you know, we have developed a lot of new technology in the last years. We have now 12 different technologies. And of course, we see great opportunities to deliver a lot of innovation concept from them and delivering value through that strategy.
Adela Dashian: And those 12 different technologies, are they across the board for all your different subcategories or was this specifically in bike?
Max Strandwitz: No, I mean we – sometimes we develop a new technology because we want to get into a certain subcategory that will require a specific solution, could be that the helmet is a little bit heavier or lighter or requires more ventilation. Then, of course, we deliver according to that requirement. And then when it comes to the categories where we – I would say that we are most matured, which is snow and especially bike, there, it’s, of course, really to make sure that we elevate the product that we are in. As you know, we have become a lot more consumer-centric in the last years. I think our last development of the Air Node, which is our lightest solution so far where you have highly ventilated product, the lightest Mips solution, which is on average, adding 7 grams to a helmet, I think, is a perfect example of that. We also have our Integra Split solution, which we also developed, which is a 3-piece concept where you can have different densities in the helmet, is another example of that. And then, of course, also our Integra TX, where we deliver the full padding concept to our customers and, of course, bringing even more value to the helmet, is also another example of that. So I think it’s twofold. One is that we deliver the right solutions for the right helmet, but then, of course, trying to really become even more consumer-centric, also creating solutions where you have aftermarket products. When your solution is either worn out, you want to change the solution, sometimes you can go into the store, exchange that solution and get a fresh solution directly from the store, which I think is also a really good step on becoming even more consumer-centric.
Adela Dashian: Okay, got it. Alright. And then maybe lastly on Moto, very good growth here in the quarter, yet you were facing very easy comps. I think you also mentioned that maybe the growth outlook for Moto is a bit more muted than other segments. Has this particularly to do with the challenging consumer environment? And do you see any signs of recovery in the very, very near term there?
Max Strandwitz: Yes. We start to see that the Moto category is improving, but that’s not really what’s driving the growth. For us, it’s, first of all, like we see also in the bicycle category, customers are buying from us again. But I think also in terms of the effect of bringing new products to the market is more visible, of course, in the Motorcycle category because there, we have done a lot of projects. We have onboarded a lot of customers. And of course, that’s role – something that we are rolling out at the moment. And that’s also why we are quite upbeat when it comes to our outlook for the Motorcycle category. So, a lot more to come.
Adela Dashian: Okay. I will head back into the queue. Thank you.
Max Strandwitz: Thank you, Adela.
Operator: Thank you. [Operator Instructions] We will take our next question. Your next question comes from the line of Carl Deijenberg from Carnegie. Please go ahead. Your line is open.
Carl Deijenberg: Thank you. Good morning, Carl and Max. So could I start asking a little bit on the OpEx profile here in Q3? And then I appreciate – I came in a little bit late on the call, so apologies for that. But I mean, measured on an absolute basis, the OpEx, let’s say, in absolute numbers seem to be accelerating a little bit based on what you have been growing the base here in the other two quarters of the year. So I know you’ve been quite active on the fairs side. You were stressing that in the beginning, but would it be, let’s say, possible to also quantify maybe the effect and also maybe the phasing effect versus what it was in Q2 last year versus Q3, just to understand that incremental this year?
Max Strandwitz: Thank you and good morning, Carl. So two things I would say that is specific for the quarter. The easiest one is, of course, that Eurobike, which is the biggest bicycle fair of the year, was last year in Q2, this year in Q3, which, of course, adds a little bit to the marketing cost. It’s a big fair, which we, of course, invest a lot of money into. So there is a bit of skewed comparison quarter versus quarter, but on the full year, of course, no impact. Then we also have the two biggest safety shows of the year, NSC and ASSP, in the quarter. So of course, three fairs in the quarter adds a little bit to that. But again, on the full year, no difference. And then, of course, given the heavy pressure on our engineering team, both when it comes to the implementation team, but also in terms of product development, we are recruiting more people. And in total, we added seven new employees to Mips in the quarter. And of course, if you are 102 to start with, that has also an effect. And of course, that’s positive news because we are hiring more people because we are growing. We also have a really intense agenda going forward, and that’s the two key drivers of the OpEx spend.
Carl Deijenberg: Okay. And then if I could follow-up maybe a little bit also on bike. I mean peak season for ‘24 is obviously behind us now. And you were stressing a little bit still that there’s quite some focus on working capital levels in the retail chains. But just out of curiosity, maybe a little bit how are the discussions sounding with your customers going into ‘25, what’s – if you could give any flavor of how the industry is a little bit positioning going into next year? Are we anticipating, let’s say, market growth and volumes in the U.S.? Or are people still quite reluctant to give any forecast here?
Max Strandwitz: No, I wouldn’t say that they are reluctant, but I think there is still a big uncertainty what actually happens to the consumers. And of course, we try to collect as much information as we can. I think if we start with North America, still very much an uncertain market. It’s an election coming up. Everyone is wondering what will happen to the consumer. So there, we see a little bit more hesitant consumer. And of course, that I think you have also heard from a lot of the reporting companies that North America is a little bit soft and hesitant at the moment. Still, we can deliver a lot of growth in North America. And actually, as you saw in the quarter, we were actually doubling our sales to North America. And that comes from, again, what I said, our customers buying from us again instead of depleting their stock and also increasing the assortment with Mips. So we are really happy about that, and we also see that we are gaining a lot of market share on the North American market, which we are really happy about. So I will say still a little bit of uncertainty of the development of the North American market. But overall, the longer-term trend, I think, is still very positive for the North American market. When it comes to the European market, we actually start to see that the consumer is coming back and a lot of the different geographies in Europe is already starting to reporting growth. And you also heard that from other companies that Europe is looking a lot more positive. So there, I would say that we see that the market is already back at growth.
Carl Deijenberg: Okay. Perfect. Yeah, I think – or maybe just one final one as well. I mean I wanted to ask also model implementations, and I know activity for U.S. has been at super high levels internally this year with all the new products that you have in the pipeline. And I think I recall that you had on average one in implementation per working day throughout this year. And I was just curious if you could say anything, your anticipation going into ‘25 from what you can see today, is that going to be an equally active year for you in terms of new models coming into ‘26, ‘27? Or what’s the discussions sounding like there?
Max Strandwitz: Yeah. I mean in terms of the year-to-date number, when it comes to amount of projects, we are actually a little bit more than up 20% versus last year, which is, of course, good, and we are approaching already now last year’s number. So we’re really happy about that. And we actually haven’t seen a slowdown when it comes to projects. We still see very high interest on implementing Mips and especially also as we see that consumer markets are recovering and the interest from doing more helmets is becoming more visible. So, so far, we haven’t seen any slowdown in terms of that number. I think the pace we are at now, we are extremely happy with. So that’s where the current assumption is.
Carl Deijenberg: Okay, great. Thank you very much.
Max Strandwitz: Thank you.
Operator: Thank you. [Operator Instructions] We will take our next question, and the question comes from the line of Daniel Thorsson from ABG Sundal Collier. Please go ahead. Your line is open.
Daniel Thorsson: Yes. Thank you very much. I have a two questions on the Safety category. I remember we were talking about your customer wins a year ago represented around 30% of the total market share or so. Can you give us an update on that one? The current portfolio of customer wins and models that you have signed today, what kind of rough share does it correspond to of the total addressable market?
Max Strandwitz: We have only communicated the customer win, and we said before that it was around 30% to 40%, which is, of course, a wider number. And of course, we have signed a couple of more customers that we communicated also during the year. But we are still somewhere around 30% to 40%, getting closer to 40%.
Daniel Thorsson: Okay. Thank you. That’s helpful. And then a follow-up on that one. Is it any single brand or model within the Safety vertical that you think is key to drive strong growth in the Safety category in Q4 or in 2025 that is good to be aware of and keep an eye on?
Max Strandwitz: No, I think in terms of the lineup of the different models that we have on the market, I would say, for us, where we see the biggest interest and by far, the biggest acceptance of Mips, is the North American market. There, of course, we see that the overall construction market is very strong. And we also see that a lot of construction companies are upgrading their helmet assortment. We have talked before about that we see that there is a big switch from type-1 to type-2 helmets. So normally, type-1 could be a little bit a simpler construction helmet into more advanced. And that is going quick, actually quicker than we are anticipated, and that’s also what is generating a lot more demand. So I would say not the helmet, not the brand, but the market. We see a very positive development in the U.S. market, and also the willingness to pay is much higher on the U.S. market than you see in Europe. Europe is, of course, hampered a little bit by a much weaker construction industry in general. And of course, if you have a weaker construction industry, the willingness to pay is, of course, not there to the same extent. So our focus is a lot on the U.S. market, and that’s also by far where we have the best traction.
Daniel Thorsson: Okay. I see. That’s clear. And then what is the rough markup or higher prices for Mips construction helmet model versus the previous model from the brands?
Max Strandwitz: Yes. So I mean, historically, we have had an average sales price of around USD $5 to USD $6. And for the construction industry, it’s a little bit higher than that. So we still see a higher price in the construction industry.
Daniel Thorsson: Yeah. And the brands, are they able to push out the price, which is perhaps closer to $20 then? Or are they showing less price increases or higher price increases than we have seen in the consumer verticals?
Max Strandwitz: Yes. I think the dynamic of the Safety category is a little bit different because, of course, when you sell in, what we call, consumer products, then, of course, normally, you will have a multiple of $4 to $5. So if you add $1, that can be $4 to $5 in the retail industry. And of course, when you look at the Safety category, it’s normally less than that because normally, you don’t have the retail in between. Normally, we sell to helmet brand that sells to a distributor that sells directly to construction companies. And therefore, the retail margin is not in between. And that, of course, generates lower markup. We don’t see any inability to markup in terms of what the safety brands expect, and we see that price doesn’t seem to be the issue.
Daniel Thorsson: Perfect. Thank you very much.
Max Strandwitz: Thank you, Daniel.
Operator: Thank you. Your next question comes from the line of Emanuel Jansson from Danske Bank. Please go ahead. Your line is open.
Emanuel Jansson: Good morning, Max and Karin. I hope you can hear me. I think I got one or two questions here. Jumping to the bike segment, when we listen to the Q2 report, you were talking about an acceleration of sales expectation in Q3, and that we saw. Can you maybe give us some color on how you have seen the demand within the bike segment have developed throughout Q3? Has it been stronger in any specific month? Or has it been generally stable throughout the quarter?
Max Strandwitz: No. I think in terms of – you’re right, we said that the bike growth will accelerate, and it has done. Of course, normally, bike is a little bit stronger at the end of Q3 versus beginning because, of course, during the summer months, it’s less production of bicycle helmets, but that follows the normal pattern that we see. And also what we said for Q4 is that we expect an acceleration of growth versus what we saw in Q2. Of course, Q3 was an exceptional good quarter, but we still see a very high demand in the bike category, which is, of course, also very important for the Q4 results.
Emanuel Jansson: Great. Thank you, Max Strandwitz. That’s very helpful. And I think looking at Q4 and you’re also talking about the new implementation of new models into the market, have you already seen those models – have you already seen these models in the numbers here in Q3? Or should we also expect them to be – maybe one of them maybe be more supportive in Q4 to the numbers?
Max Strandwitz: No. I mean – since there is a backlog of new helmets coming out to the market, it will be a gradual release of those helmet. And it has already started. It started a bit in Q3. You will see more in Q4, but you will also see a bit going into next year. So we see that the rollouts have started. But of course, since it’s quite a long period of time and a lot of helmet, it takes a little bit of time to get them fully produced and so on. But yes, that impact has already started, but there is more to come.
Emanuel Jansson: Perfect. Thank you. And lastly, just looking that you hired some additional engineers in the quarter, where do you find this kind of engineers, from competitors or from other industries? Can you maybe give us some color on that?
Max Strandwitz: Yeah. So I mean, competitors is difficult because there is not a lot of competitors to hire from and especially when it comes to the amount of engineers that they actually have, no one else on the market has the position that we have. Normally, if you look at competition, if they have one or two engineers, that will probably be a lot for them. So when we are looking at engineers, of course, we have a great collaboration with KTH. And of course, a lot of the students write their master thesis at Mips. And then, of course, it becomes a very natural bridge for them to come on board to Mips and so on. We get to test them and they get to test us. So there is still the biggest inflow when it comes to engineers. But again, also because we are growing as a company, but it’s also that we need to hit the ground running. We can’t train everyone that we get on board. So we also started to recruit a lot from the general market when it comes to product development and so on. Of course, there is, unfortunately, a lot of good people available out there, especially in the outdoor industry. So in terms of pipeline of good people, there is a lot of good people out there to go for.
Emanuel Jansson: Great. Sounds promising. Yeah, well, I think that’s all of my questions for now. Thank you, Max and Karin.
Max Strandwitz: Thank you, Emanuel.
Operator: Thank you. We will take our next question. The next question comes from the line of Gustav Hageus from SEB. Please go ahead. Your line is open.
Gustav Hageus: Thanks for taking my questions. Max and Karin, sorry if I’m repeating someone else’s question. I was a bit late into the call. But I’m curious on the end market channel inventory dynamics. Anyone’s guess, of course, but the trend of – in retail of holding lower inventory in terms of weeks of sales or as a percentage of COGS, albeit it’s been a structural story for probably 10 years, right? But it seems like it has dramatically increased now on the back end of higher interest rates and the wisdoms learned in COVID, right, when you had too much inventory. But do you think that this is the new normal, or will there again be a FOMO rally potentially going into next year with lower interest rates in a scenario where demand picks up so that these retailers might again go from these historically low inventory figures to a bit more pre-pandemic levels because I guess that would boost the overall demand quite significantly if that was to happen?
Max Strandwitz: Yes. So, I think at least during my 8th year in the industry, retail inventory targets has never been as tough. So, we see that, of course, the impact of cost of capital is having a significant effect, and we see that a lot of the retailers have also communicated to the industry that they will held or hold less stock and also expect that a lot of the helmet manufacturer will carry more stock. And of course, they have service level targets attributed to that. So, I think they are putting a lot of responsibility to the helmet manufacturers. Today, cost is or cost of capital is expensive, and we see a lot more focus on that. I think a couple of years ago when basically cost of capital was free and cash was not constrained as such, it was more about selling and you got whatever product you need. I think we will probably not stay where we are, but probably go back a little bit more to – in the middle versus what we saw before and what we see today because, of course what is also happening is that the consumer is, of course picking up, but it’s also becoming a lot more demanding. And if the product is not in store, you will normally not sell anything. And that of course is more visible on the U.S. market. So, I think it will recover a little bit more because it hampers sales. Also, there is a lot of innovation that needs to come out. So, I don’t expect it to be as dramatic as we see now, but it’s a very uncertain market. It’s a very tough market, and we see that the really working capital target is really, really tough at the moment. But I expect it to ease a little bit also because coming years will be a lot more of getting the consumer back in store and start growing and not having inventory will not make that possible. So, I think that will change. Of course, I was in the U.S. last week, and we did a lot of retail visit. We also spoke a lot to retail and so on. And we see that inventory levels have normalized a lot more. I think what is still a little bit of a challenge is the product mix, both when it comes to helmet, but especially when it comes to bike, there is still a lot of work to be done on the product mix to get the right product mix and especially what the consumer wants. Especially when it comes to premium product, we see that inventory level is still quite low. And we know that especially if you want to go out and have a premium bike at the moment, you can actually look for quite some time. So, it is also a little bit of unbalance in the product mix as such.
Gustav Hageus: Thanks. That’s helpful. And looking into your product pipeline in terms of geography, do you see a pickup in the share of European sales? Adoption rate in the U.S. is obviously much higher than Europe, especially, I guess you talked previous about being quite hopeful to Germany driving sort of higher adoption rate in Europe. But could you give us a rough indication of if you see any trends in that aspect in your current project pipeline that would be helpful.
Max Strandwitz: Yes. So, I think both in terms of new projects, a lot of the projects that we have been developing in the last 2 years have been for the European market. And of course, also there, we see that some markets are already growing, and we see that demand is increasing also. And we start to see also that the share of Europe is going up in our total numbers and so on. So, we do expect a little bit higher momentum in Europe versus North America. That was not the case for the quarter. But in the longer term trend, we have a lot of expectations for the growth in Europe.
Gustav Hageus: Great. And then a final one for me, maybe more of a long-term question, but rarely hear anything about ballistic helmets, and I appreciate it’s tough procurement processes and so forth. But average cost for those helmets are quite high, right, and the volumes seems to be unfortunately going up with the sign of times with all the uncertainty in the world. But have you sort of changed your mind sort of on the priority on those – that category? Is that still something that you do not pay that much attention to at the moment?
Max Strandwitz: Yes. I think you said ballistic helmets, right?
Gustav Hageus: Yes. So, military or…
Max Strandwitz: Yes. So, we do see quite a lot of interest and especially in the current geopolitical environment that we are in, there is more and more demand for those type of products. And of course, we do get a lot of requests. At the moment, we have said that, that is not our focus. We have too much to do in other areas. It doesn’t mean that we have left it for all times. Of course, we know that we can make a great difference also in that category. But it’s also a very complicated category to be in. Normally, you need to keep spare parts for 25 years. There is a lot of things that you need to make sure that you have in place in order to operate in that type of category. So, it might be still as an opportunity. But at the moment, when we get requests, we have said no because we believe that our focus is better in other areas. But it doesn’t mean that we left it for good.
Gustav Hageus: Okay, thanks. That’s all my questions.
Max Strandwitz: Thank you.
Operator: Thank you. There seems to be no further audio questions. I will hand back for webcast questions.
Max Strandwitz: Yes. So, we have a couple of questions from Thomas Valentinsen [ph], and it’s about if Mips is planning further strategic investments. And I think for us, when it comes to strategic investments, there is a couple of areas which we are investing in. Of course, the most important one is, of course, in marketing. And there, we are continuing to spend a lot of money. We believe that it’s on the right level. We try to bring awareness of Mips up throughout the world. We know that if the customer understands what we do and knows about Mips, they will also buy Mips, so a very important priority. And then of course, we are also investing in terms of R&D to really make sure that we get even more products on the market. We have also invested in a new test lab that some of the investors have started to see already. So, we are doing a lot also in that space. And those are the two typical strategic investments that we are doing. At the level we are now is roughly the right level that we want to be also going forward. Then we get a question, are you planning dividend increases, and at the moment, we have an ambition to pay or for a payout ratio exceeding 50%. And so far, we have been above that level. Last year, it was around 250%. So, I think our ambition to have a payout ratio of above 50% is good, and that’s what we stick to. And we also get a question if we would do anything active to promote the share and company to potential investors coming months, creating share brand awareness. I always believe that business first. It’s a very challenging market out there. I think if we do the best we can on that market, it will be a lot of – a lot easier to explain to our investors on what we are doing, and that’s where our focus is. We get a lot of investor requests, but our key focus is to run the business, then everything else becomes a lot easier. And then it’s also a question about the Quin acquisition. And it’s a year from the Quin acquisition and you collaborated with Quin at the world of bike to showcase the technology in the last quarter. When should we hear you to start talking about Quin and what is your product on – or your impact on your products. And for us, the reason why we invested in Quin is, of course, it’s a fantastic technology, but it’s also the availability of data. With Quin, we get access to a lot of real life accidents. I always believe the one that has the most data will win. And of course, we consider ourselves to have probably the most advanced test lab in the world. We also think that we have the best computer simulation capabilities in the world, in our industry. And of course, also adding real-life accident data to that creates an ecosystem of data that no one else is close to in the world, and that’s the reason for the investment. We are collaborating, of course, to do even better product, but the investment in Quin is mainly about the data because, like I said, the one that has the most data, I believe can take better and more informed decisions, and that is a lot what business is about. And I believe that we don’t have any more questions. So, thank you everyone for listening in and speak to you again next quarter.
Operator: This concludes today’s conference call. Thank you for participating. You may now disconnect.